Takeshi Horikoshi: This is Horikoshi, the CFO. I'll explain the summary of the financial results for Q1 fiscal 2025. Page 4 shows the highlights for the first three-month period of fiscal 2025. The exchange rates are JPY145.5 to the US dollar; JPY162.5 to the euro; and JPY92.6 to the Australian dollar. Compared to the same period last year, the yen appreciated against the US dollar, euro, and Australian dollar. Net sales decreased by 5.2% YoY to JPY909.5 billion, and operating income decreased by 10.6% to JPY140.4 billion. The operating income ratio was down by 1 point to 15.4%. Net sales and operating income decreased, respectively, despite the promotion of price increases due to the appreciation of the yen YoY as well as a decrease in sales volume and increasing costs. The impact of additional tariffs imposed by the US in Q1 on tariff costs was minimal. Net income decreased by 16.9% YoY to JPY91.2 billion. On page 5, I'll talk about segment sales and profits. Net sales in the construction, mining & utility equipment segment decreased by 5.5% from the corresponding period a year ago to JPY844.9 billion. Segment profit decreased by 14.1% to JPY122.3 billion, and the segment profitability decreased by 1.4 points to 14.5%. Retail finance sales remained about flat YoY at JPY30.4 billion, while segment profit increased by 22.5% to JPY9.4 billion. Industrial machinery & others sales decreased by 4.6% YoY to JPY43.5 billion, while segment profit increased by 43.5% to JPY7.2 billion. I'll explain the factors behind the changes in each segment later. Page 6 shows the sales by region for the construction, mining & utility equipment segment. Net sales in the segment decreased by 5.5% from the corresponding period a year ago to JPY842.3 billion. Excluding the impact of foreign exchange, the decline in sales in North America was significant, mainly due to a decrease in sales of mining equipment compared to the same period of the previous year. In other regions, excluding Japan and China, sales increased in real terms, excluding the effects of FX rates. Page 7 shows the causes of difference in sales and segment profit for the construction, mining & utility equipment segment. Regarding sales, despite offsetting the decline in volume with improved selling prices, due to the impact of yen appreciation compared to the same period last year, sales decreased by JPY49.4 billion from the corresponding period a year ago. Segment profit decreased by JPY20 billion from the corresponding period a year ago, mainly due to the appreciation of the yen YoY, although the decrease in sales volume and increased costs were partially absorbed by improved selling prices. The segment profit ratio decreased by 1.4 percentage points from the corresponding period a year ago to 14.5%. Page 8 is about the retail finance business. Assets decreased from the previous fiscal year-end, mainly due to the impact of the Japanese yen's appreciation against the US dollar. New contracts decreased from the corresponding period a year ago due to yen appreciation and a decrease in new contracts in North America. Revenues remained about flat from the corresponding period a year ago due to the appreciation of the yen despite an increase in interest income. Segment profit increased by JPY1.7 billion from the corresponding period a year ago, mainly due to lower procurement costs. Page 9 shows segment sales and segment profit of the industrial machinery & others segment. Sales decreased by 4.6% from the corresponding period a year ago to JPY43.5 billion. Segment profit expanded by 43.5% YoY to JPY7.2 billion, and the segment profit ratio increased by 5.6 percentage points to 16.6%. Although sales decreased due to a decline in sales of large press machines, segment profit increased due to increased sales of high-margin excimer laser maintenance. Page 10 shows the consolidated balance sheet. Total assets amounted to JPY5,846.2 billion, an increase of JPY72.7 billion from the end of the previous fiscal year, primarily due to an increase in inventory assets. Inventory assets totaled JPY1,500.7 billion, an increase of JPY94 billion from the previous fiscal year-end. The equity ratio decreased by 1.9 percentage points from the previous fiscal year-end to 53.1%, and the net D/E ratio stood at 0.29 times. This concludes my part.
Operator: Next, Mr. Hishinuma will provide the outlook for FY2025.
Kiyoshi Hishinuma: I am Hishinuma, General Manager of Business Coordination Department. I will now discuss the FY2025 earnings forecast and the status of major markets. Page 12 shows the latest estimates of tariff costs based on the US government's announced tariff policies and rates. We have not revised our demand sales or profit outlook due to the tariff policies, but we now estimate a JPY30 billion decrease in payment-based tariff costs and a JPY3.5 billion decrease in profit impact compared to the April public announcement. As for the profit impact, we expect the decrease to be smaller than the payment base due to factors such as inventory effects within the US. Page 13 summarizes the tax rates that form the basis of these estimates. For items other than steel and aluminum, the applied tax rates by country have, in many cases, decreased compared to our April forecast due to bilateral negotiations. However, for steel and aluminum, a 50% rate was applied globally as of June. As a result, many cases are now higher than our April forecast. Page 14 provides an overview of the FY2025 earnings forecast. Our full-year FY2025 forecast remains unchanged from our April outlook. From the next page onward, we will explain the demand trends and outlook for the seven major products. Page 15 onwards covers the demand trends and outlook for our seven major products. The demand figures for the seven major products include mining equipment. Figures for Q1 FY2025 are preliminary estimates by our company. Estimated demand units for Q1 FY2025 declined by 3% YoY. We have not revised the full-year demand outlook for FY2025, but we will explain the situation in major markets on the following pages. Page 16 shows demand trends and outlook for the North American market. Demand in units in Q1 FY2025 declined by an estimated 4% compared to the same period last year. We have not revised our demand outlook this time. However, inventories of construction equipment at distributors have been adjusted to appropriate levels, and there are signs of stabilization in rental demand. On the other hand, the impact of US tariff policies on demand in the North American market remains unclear, so we will continue to closely monitor the situation. Page 17 presents demand trends and outlook for the European market. Demand in units in Q1 FY2025 are estimated to have declined by 3% YoY. Although we have not revised our demand forecast due to interest rate cuts by ECB and fiscal stimulus announced in Germany and the UK, we see signs of improving business sentiment and stabilization in demand, and we will continue to monitor future developments. Page 18 shows the demand and the trend and outlook in Southeast Asia. In Q1 FY2025, estimated demand units increased by 7% YoY. In Indonesia, our largest market, demand began recovering in H2 FY2024 following last year's presidential election. As a result, demand increased YoY in Q1. We have not revised our demand outlook this time, but recent declines in coal prices, delays in large-scale projects, and reductions in infrastructure budgets lead us to closely monitor future demand trends for both construction and mining equipment. Page 19 covers demand trends and outlook for the Japanese market. In Q1 FY2025, demand in units are estimated to have decreased by 16% compared to the previous year. We have not revised our demand forecast, but rental equipment utilization is currently sluggish, which is putting downward pressure on demand. Labor shortages are also seen as a negative factor for the construction industry. We will continue to monitor developments closely. Page 20 shows the price trends and outlook for major minerals related to mining equipment demand. Prices for low-grade coal in Indonesia are on a declining trend and are being closely monitored, while other minerals remain at relatively high levels in the long term. Page 21 presents demand trends for mining equipment. Demand units in Q1 FY2025 are estimated to have declined by 3% YoY. Although demand declined in regions such as North America, overall demand remained solid. We have not revised our demand outlook. With coal prices currently declining in Indonesia, we will closely monitor future demand trends. However, we expect demand in other regions and for other minerals to remain generally firm. Page 22 shows the sales of mining equipment. In Q1 FY2025, mining equipment sales decreased by 8% YoY to JPY406.3 billion. Excluding the impact of exchange rates, the decrease was 2%. We have not revised our FY2025 full-year sales forecast, which remains a 10% YoY decrease to JPY1,727.9 billion. Excluding currency effects, this represents a 2% increase in revenue. Page 23 provides the sales outlook for original equipment, parts and services in the construction, mining & utility equipment segment. In Q1 FY2025, parts sales decreased by 8% YoY to JPY241.9 billion. Including services, the aftermarket as a whole accounted for 54% of total segment sales. Excluding currency rate effects, total aftermarket sales increased by 1% YoY. The FY2025 full-year forecast for parts sales remains unchanged at JPY987 billion, a 6% decrease YoY. The total aftermarket ratio, including service, is forecast to be 53%. Excluding FX rate, total aftermarket sales are also forecast to rise 4% YoY, with no change to the previous outlook. This is page 38 onwards. We'd like to share with you the topics for Q1. This is page 38. Komatsu has signed a contract to supply mining equipment for Reko Diq copper and gold mining project, which is being promoted by Barrick Mining Corporation of Canada in cooperation with the Pakistani government and the Balochistan provincial government. This marks Komatsu's first large-scale order for mining equipment in the Middle East territory, with equipment deliveries totaling approximately USD440 billion scheduled to begin in FY2026. In conjunction with this contract, we will establish Komatsu Pakistan Mining to strongly support efficient mining operations. We also plan to make investments through Komatsu Middle East, our regional headquarters, to enhance parts supply systems supporting the project. This is page 39. Komatsu has introduced its new power-agnostic truck at Aitik copper mine, one of Europe's largest copper mines owned by Boliden of Sweden as the first unit in the power-agnostic truck series known for its adaptability to multiple power sources. The diesel trolley model 930E has begun operating. This marks the world's first deployment of a power-agnostic truck operating at an actual mine site. By adopting a modular design on the same machine platform, power sources such as diesel can be replaced with batteries or hydrogen. This enables smooth transition to lower-emission power sources like battery electric or hydrogen fuel cells, in line with customer needs in the future. This concludes my presentation.
Operator: Now we would like to take any questions that you may have. The first question is from Maekawa-san, Nomura Securities.
Kentaro Maekawa: This is Maekawa from Nomura Securities. Thank you very much for the presentation. First question is about page 7, volume, product, and mix, which is JPY10.3 billion negative. Can you give me the breakdown?
Takeshi Horikoshi: This is Horikoshi speaking. For pure volume, it's minus JPY5.5 billion. And for product mix and area mix, it's minus JPY1.7 billion on a net basis. There were one-off items, which was worth JPY3.1 billion minus. For the JPY1.7 billion minus, for product mix, it was negative related to mining parts. Compared to the previous year, it was down. For area mix, it was contributing positively due to Indonesia and Chile. Compared to last year, we saw an increase. On a net basis, it was minus JPY1.7 billion.
Kentaro Maekawa: Thank you. I have two additional questions. The decline in mining for North America, didn't that have an impact on the mix? You said minus JPY3.1 billion for one-off factors. Can you give me more detail on that?
Takeshi Horikoshi: For mining, in North America and its impact, it wasn't that substantial. It was more attributed to mining parts, and that ratio went down. That had a greater impact. For one-off items, there were some customer-related one-offs and there was a settlement that was reached leading to this cost item.
Kentaro Maekawa: This is temporary and one-off, so I guess it's not going to be sustained? Or no additional expenses are not going to be incurred?
Takeshi Horikoshi: No, that's not going to happen.
Kentaro Maekawa: My second question is about tariff, the latest forecast. First, for the inventory part, it has declined. Tax rate revision, steel, and aluminum, this is not attributed to external factors, I guess. When you crunch the numbers, you didn't have that much of inventory and the P&L impact this time around, even if the rate changes, it hasn't really changed. Regarding the trends of inventory, can you give us more commentary?
Takeshi Horikoshi: This is Horikoshi again. As you rightly said, at the beginning of the year, for the inventory, that's not going to be impacted by tariffs. After the beginning of the year and after we crunched the numbers, we didn't have as much. That led to this decrease compared to the April outlook.
Kentaro Maekawa: If you were to point it out, what part was different? Or was there less inventory that you were able to ship? Can you give me more flavor on that?
Takeshi Horikoshi: For steel and aluminum tariff rates that is going to be imposed, we scrutinized the mix and its contribution. Also, we looked at our work-in-progress inventory at our factories to see what kind of impact they have. That's how we scrutinize the numbers.
Kentaro Maekawa: Understood. Also, for steel and aluminum, it's going to increase. And for reciprocal tariffs, it's positive and negative. The remaining portion is the rates between US and China. I guess the reciprocal tax portion was going to be greater because Japan went down. But regarding the tariffs, steel and others, from JPY140 billion, it went down to JPY110 billion. But how much do each of these factors contribute because then we'll be able to get a better idea? Can you walk us through additionally with hard numbers?
Takeshi Horikoshi: Well, regarding tariffs between US and China, at the time of the April public announcement, we were assuming 145%. But with the agreement reached, it was 30% until August and from September, 54%. Therefore, this difference is pretty big. Also, for steel and aluminum, this mix, it's kind of spread out, so it's hard to pinpoint where. But I would say, on a relative basis, it's higher in Japan as well as in China. For reciprocal path, Japan has the largest impact, and it's JPY13.5 billion under others, but the majority of this is attributed to Japan.
Kentaro Maekawa: For JPY13.5 billion plus for tariffs on steel and aluminum, 25% went up to 50%, so the original JPY13.5 billion, did it double, go up to JPY27 billion, and that's why it's up by JPY13.5 billion? And for reciprocal tax, I assume that it should be around JPY100 billion, but it's only down by JPY13.5 billion, and it seems that that's very small. Is that the right way to look at this volume-wise?
Takeshi Horikoshi: Well, based off the JPY110 billion, about 1/2 of that is associated with reciprocal tariffs. About JPY30 billion is steel and aluminum.
Kentaro Maekawa: Got it. Thank you.
Operator: Thank you very much. We'd like to move on to the next question from UBS Securities. Sasaki-san, please.
Tsubasa Sasaki: Can you hear me? This is Sasaki from UBS Securities.
Operator: Please go ahead.
Tsubasa Sasaki: My first question relates to the Q1 results. I'd definitely like to hear your recap of Q1, especially in comparison to the beginning of the year. For the construction equipment and machine, the mining equipment, how has your outlook changed? Also, the OP, JPY140 billion. In comparison to the internal plan, how do you perceive this number? That is my first question.
Takeshi Horikoshi: This is Horikoshi. As for Q1, in terms of sales, the FX difference, about just short of JPY60 billion or so. Initially, we're looking at JPY135 to the dollar, so it's about JPY57 billion in terms of the FX difference. Also the volume decline, that's JPY29 billion of a negative. Also, the pricing difference, it's down by JPY2.5 billion. That's on a net basis to JPY25.5 billion. That is the difference from April PA, increase by JPY25.5 billion, that is. Also in terms of profit, we talked about the FX and sales. The impact, it's about JPY11.5 billion. That's an upside. But contrary, about the same amount relates to the volume decline. Also in terms of mix difference, there's been quite a difference here, especially for mining parts and also some of the one-off factors. Also, the cost, it was an excess and also the fixed cost excess, that has been offset. All in all, in the end, the price differential, JPY2.5 billion, that translated to a minus, a negative factor all in all.
Tsubasa Sasaki: Thank you very much for that. In terms of the volume declined by JPY29 billion, in comparison to the beginning of the year, which business do you see a downward trend?
Takeshi Horikoshi: In terms of the ratio, or in terms of the amount rather, the largest came from mining segment. For construction equipment, it wasn't so large; it was about JPY6 billion or so. Where we have seen difference or change, as I explained already, for the construction equipment, that is in Indonesia, that's where the difference was. And also Japan. Japan, if you look at the Q1 demand, as you can tell, it was not good. Where it was slightly better was North America. On a net basis, JPY6 billion of negative it was. Now moving on to mining, so basically, the remainder part is the mining business. North America, this is just the change because each unit is quite large in volume, so basically, it's been pushed out. Also for Latin America, it has been pushed out. Those two have been the largest factors. Also, I talked about Indonesia. The coal prices have been on the decline and because of different regulations and the Indonesian government are regulating the export pricing. Those have posed a negative impact. This is more related to the demand situation.
Tsubasa Sasaki: Thank you very much. The second part of my question, I'd also like to pose a question related to the tariff impact. In the slide, you gave us an update, these are pages 12 and 13. Thank you very much for the updates. I was able to fully understand the current state. Now I'd like to ask about the countermeasures going forward, especially given the current environment. Rather than manufacture in the US, maybe it is cheaper to actually manufacture in Japan. That may be the case. Also, the price increase. Now that the cost has been on the rise, surcharge could be one of the ways to address this. Given the recent tariff situation, how does Komatsu intend to take initiatives? If you can give us an update, that would be highly appreciated.
Kiyoshi Hishinuma: This is Hishinuma. Thank you very much. Basically, starting from what we can do. Basically, while we have been shipping to Canada and Latin America from North America, we are starting to conduct direct delivery. Also in terms of pricing, as already posed, back in April, when we announced the forecast, we mentioned that we will explore possibilities of surcharge. We've mentioned that back then. However, if it's surcharge, the link with the tariff rate is quite strong. Rather than looking at the surcharge, rather than that, perhaps looking at the usual increase in inflation, we are seeing a regular increase in the cost, so more of a regular price increase will be strengthened. We would like to pursue that direction instead.
Tsubasa Sasaki: At the distributors and at users, how are they receiving this? If you can give us how you've been able to penetrate the price increase so far, please give us an update.
Kiyoshi Hishinuma: Already, the distributors, we are just about to start announcing, so those could be factored in going forward.
Tsubasa Sasaki: Understood. Thank you very much for your answers. That is all for me.
Operator: Thank you for the question. Let's move on to the next question. Adachi-san from Goldman Sachs, please.
Takeru Adachi: Adachi from Goldman Sachs. Can you hear me?
Operator: Yes, we can. Please go ahead.
Takeru Adachi: I also have two questions. The first one, about the demand environment for mining equipment. You talked about Q1 in North America, and there was a pushout in sales for the mining business. Are you able to get the sales during this fiscal year? Of course, I'm sure the environment is impacted by tariffs, but can you say that North America demand is brisk? Also for Asia, you were talking about declines around coal prices that may be a concern, so going into H2, are you afraid that demand may deteriorate?
Unidentified Company Representative: Our view is that for North America and Q1 timing shift, the same amount is going to shift and will be pushed out. For Indonesia, for Q1, for mining and construction, it declined. Our view is that it's going to be pretty bad. Rather than the impact on Q1, we expect that Q2 and beyond, compared to our plan, we are going to see negative trends come through.
Takeru Adachi: Thank you. By the way, for those two regions, your view was quite negative. But for iron ore or copper, do you think you'll be able to offset that poor demand trend?
Unidentified Company Representative: Well, for copper, prices are firm. We believe that we can exceed expectations by about JPY30 billion for Latin America. For Europe, it's doing well, so we also believe it's going to beat. Also until last year, Oceanic continued to exceed expectations. It continues to be brisk. We believe that they are likely to exceed as well.
Takeru Adachi: Thank you. One more additional question I have is you talked about Pakistan, and you said USD440 million. I think that's about JPY60 billion worth. That's pretty big. What's the period of the sales you're going to be making? Over how long?
Unidentified Company Representative: I do believe it's over five years. It's a five-year contract.
Takeru Adachi: Thank you very much. My second question is about North America and construction equipment. Inventory corrections are probably finally over, but what kind of trends do you see around demand? Did you see last-minute demand because of tariffs? Can you talk about the current environment as well as if you're seeing signs for a pickup in H2?
Kiyoshi Hishinuma: This is Hishinuma. For North America, last-minute demand associated with tariffs, we're not seeing. That's our view. Going forward, regarding the impact from tariffs, there's still uncertainty there. As far as we're on the topic for North America, I think there is an aspect of trying to call in investments into the country. If investments increase, that may have a positive impact on our business. There's both negatives and positives is what we're expecting, but we need to closely watch what unfolds going forward.
Takeru Adachi: That's all for me. Thank you very much.
Operator: Thank you very much. We'd like to move on to the next question. From Jefferies Securities, Fukuhara-san please.
Sho Fukuhara: This is Fukuhara from Jefferies Securities. Thank you very much for this opportunity. I'd also like to pose two questions. First question relates to the Q1. Based on the results, Q2 onwards, we'd like to hear your thoughts. On a full-year basis, there has been no revision in terms of the full-year guidance. But Q1, if you were to multiply the Q1 sales, it would pretty much reach the full-year guidance. However, in terms of profit, so JPY240 billion times four, so it went up to JPY540 billion or so. Of course, there will be impact from the tariffs. But ultimately, JPY560 billion or so, could we expect to see the profit to land on a full-year basis? That is the first question.
Takeshi Horikoshi: This is Horikoshi. In terms of the sales, Q1, it was short by JPY29.6 billion on a full-year basis. Quite a large amount of the shortage, we may see on a full-year basis. I wouldn't say four times this amount, but it will be quite substantial. That is the expectation. Also, Hishinuma-san mentioned about the selling price. Starting in August, we would already increase the selling price and that has been notified already. It is certain that we will make that announcement. The selling price increase definitely should pose an impact. In terms of profit, you talked about the volume decline. It really depends on how we look at FX. We might have some gains from the FX expectation, and that may actually have a positive impact. Perhaps the overall number may not change so much in terms of profit.
Sho Fukuhara: Thank you very much. My second question about the BB ratio for mines. Looking at the most recent trend, the US, Germany, and also KMC, there's been an increase, but there has been a decline on a parent-only basis. I think this is the original equipment. But in the next quarter onwards, do we expect to see a similar trend for the next quarter onwards? Also, in terms of the backlogs, towards next year for mining equipment, can we expect to see increase in the revenue?
Kiyoshi Hishinuma: This is Hishinuma. Thank you very much. In terms of the mining segment, so we have Latin America and North America and Oceania. The sales accounts for 60% to 70% by these regions. Taking those into account, the mining majors, the trend has been quite brisk. We do expect the brisk trend to continue. But Indonesia, as been mentioned, the coal price is on the decline. Now recently, sometimes it goes below the USD40 mark. Komatsu's stand-alone mining business will be hit by this. There's a chance that we may weaken around here.
Sho Fukuhara: Understood. Thank you very much. That is all.
Operator: Thank you for the question. Let's move on to the next one. From Nikkei [Kozei-san].
Unidentified Analyst: I'm [Kozei] from Nikkei. Going back to the previous question regarding North America, you were talking about the pushout leading to sales decline in the mining business. I guess this is not a change in the environment, but it's just a contract impact. What you saw decline this year is going to materialize next fiscal year? Is that the right way to look at it?
Takeshi Horikoshi: This is Horikoshi speaking. Regarding mining, apart from Indonesia, the markets are doing well. North America, I talked about the pushout, but this is just because of a push out in a given deal, so no concerns there.
Unidentified Analyst: Understood. Thank you. My second question is you talked about JPY3.5 billion cost decline related to tariffs. In your outlook for the full year, you didn't revise it. Is that because you wanted to keep a buffer?
Takeshi Horikoshi: Well, this amount is not that big when you consider the total numbers, and there's a lot of variable factors. In a comprehensive way, when you think about it, we thought that we shouldn't revise our outlook at this point in time.
Unidentified Analyst: Thank you very much. That's all for me. I hope we can interview again. Thank you.
Operator: Thank you very much. We'd like to receive the next question. From Citigroup Securities, McDonald-san, please.
Graeme McDonald: Can you hear me?
Operator: Yes, we can hear you.
Graeme McDonald: I have a question related to the mining segment. Horikoshi-san mentioned about copper, so the copper is doing well. Perhaps there's an excess. You mentioned about excess in comparison to the plan. But when we read the media newspaper, the US government, they're saying the copper tariff, if it's 50%, Codelco made some concerning views, and that has been taken up in the media. You talked about Indonesia, the coal prices decline. You've mentioned that, so that is a concern. But going forward, in the Chile business, given the copper tariffs, would the tariff pose an impact on the Chilean business?
Unidentified Company Representative: We have been serving the local—the market as well. From Chile to US export, it is not so large, so we are not overly concerned. We believe the impact will be minimal. But of course, if you read the newspaper, in terms of the survey in the US, the copper that is most frequently used is actually imported from Chile, so there might be a gap in terms of how we recognize the situation. I think Chile, you're talking about the total production, the Chilean is not so large?
Graeme McDonald: I'm just worried about Codelco's comment, but Komatsu feels that it's not an issue, so should we just assume that it's not a concern then? Also, I have a follow-up question related to mining. You talked about the product mix, so the mining parts were somewhat weak. But if you would exclude FX, the background to the weakness in the mining parts, what exactly is there? What are some of the reasons for the weakness of the mining parts?
Unidentified Company Representative: I might have actually stated in—that might cause some misunderstanding. If you look at Q1, the mining parts, perhaps it was less in comparison to the previous year. But if you look at on a full-year basis, that is not the case. We do not expect that weakness on a full-year basis.
Graeme McDonald: Last year in Q1 then, Chile's bad climate, you mentioned about some of the negative impact from there. But this year, in Q1, for mining parts, what are some of the factors behind these negatives? You mentioned about Indonesia's concern. But aside from Indonesia, you mentioned other regions are brisk. But my impression, maybe it's not so brisk. I'm just concerned about the mining parts and the mining parts in Q1.
Unidentified Company Representative: For Q1, the mining parts sales has come down in regions. Of course, this is relative to the previous year, that is North America, Asia, and Oceania. Those are the regions. What you've mentioned is about Latin America. Rightly said, last year, because of the climate factor, Q1, the mining part sales has come down. But for Latin America, in comparison to last year, actually, the parts sales has increased for this year.
Graeme McDonald: YoY, so North America, Asia, and Oceania, are those one-off then?
Unidentified Company Representative: Yes, for Q1 for parts, North America, Asia, and Oceania, those are the regions. On a full-year basis, though, again, this is a one-off factor on the Q1. But for parts on a full-year basis, for mining that is, we shall see an excess in comparison to the plan.
Graeme McDonald: Understood.
Unidentified Company Representative: Sorry, hold, I just need to confirm. Sorry, let me just restate this. Q1 for mining parts only, so for mining, Q1 and compared to last year, it was weaker in North America, Asia, and Oceania. It was weaker. But Latin America, stronger than last year. On a full-year basis, Q1 numbers are just a one-off. For North America, Latin America, Asia, and Oceania on a full-year basis, on a real-term basis, we shall see an excess in comparison to plan.
Graeme McDonald: Understood. That is all from me. Thank you very much.
Operator: Thank you. Next question, Taninaka-san from SMBC Nikko Securities.
Satoshi Taninaka: This is Taninaka from SMBC Nikko. Thank you for taking my question. My first question is about—I'm on this topic again, but excluding FX, regarding the progress for Q1, was it broadly in line with your expectations? According to what you've been saying, mining is good except for Indonesia. But for North America, there has been a timing change and pushout. For construction equipment, inventory corrections have run its course in North America. There's ups and downs. But as of Q1, considering the uncertainty we're facing, compared to your company plan, excluding FX impact, do you view it as steady progress or not? Please walk us through.
Takeshi Horikoshi: Well, earlier, I said volume difference is JPY29 billion, and there's going to be a big negative for the full year as well. In principle, regarding sales, Japan and Indonesia are expected to contribute negatively. For other regions like North America, for mining, there has been a pushout. For construction equipment, we believe trends are going to be firm. It's not that bad, and we'll see benefits from selling prices. On a value basis, it should be positive.
Satoshi Taninaka: My second question is about based off tariffs and regular price increases that you are going to conduct, you said from the orders you're going to take from August, you will be increasing your prices. This is probably not accounted for in your plan. But from H2, is it going to start to take effect and at least half of your cost increases are going to be offset by this? Can you give us some more flavor on this?
Takeshi Horikoshi: From August orders, we're expecting an impact of more than JPY10 billion.
Satoshi Taninaka: Understood, thank you. That's all for me.
Operator: Thank you very much. I would like to receive the next question. From NHK, [Ono-san], please.
Unidentified Analyst: This is Ono from NHK. Can you hear me?
Operator: Yes, we can. Please go ahead.
Unidentified Analyst: This is a fairly basic question. But in the initial explanation, you mentioned the Q1 results. The tariff impact, and cost increase, you mentioned that it was minimal. It is so minimal that there is not much of a number here. On a full-year basis, JPY75 billion of impact is expected. But what exactly was the impact for Q1?
Takeshi Horikoshi: Page 7 and the analysis where there is a cost difference, minus JPY4.1 billion is included here. Tariff, about JPY2 billion is inclusive in here for Q1. At the beginning of the year, we had inventories in the US and the inventories will come down. Therefore, Q1 onwards to Q4, the tariff costs will gradually increase.
Unidentified Analyst: So, on a full-year basis, as mentioned?
Takeshi Horikoshi: Well, the number I just mentioned, that will be the full-year number.
Unidentified Analyst: Thank you very much. Also another basic question. On 23 July in Japan, the Japan-US negotiation, there was an agreement being made. In terms of the reciprocal, the tariff, initially, it was 24%; now it's down to 15%. How do you evaluate this? Of course, there's an increase for steel and aluminum, but well, taking all those into account, how do you review and evaluate the development?
Unidentified Company Representative: It's quite a huge impact. This JPY78.5 billion number, that's 1.5% vis-à-vis the total sales. In this fiscal term, we have the impact from the inventory, so the impact is somewhat mitigated. But next year, there will be an absence of the impact from the inventory. Also the reciprocal tariff has happened at the beginning of the year, so that will be a positive. We do believe the impact will be larger for next year.
Unidentified Analyst: 24% to 15%, it is not welcoming. So you just believe that 15% is still large then?
Unidentified Company Representative: Yes, it is still large.
Unidentified Analyst: Understood. Thank you very much.
Operator: Thank you. We're running out of time, so the next question will be the final question that we are going to take. Tai-san from Daiwa Securities, please.
Tai: This is Tai. Thank you very much for taking my question. Regarding price increases, towards the volume, should we expect price increases to have a negative impact on sales volume or not? And on the other hand, for tariff rates, as we're seeing progress on the final rates, there may be some activity around capital investments going forward. In accordance with that, for construction equipment demand, do you think there's going to be a positive impact on demand? Are your people hearing any positive news? Hishinuma-san also talked about this topic, but can you talk about the positives and negatives? That's my question.
Unidentified Company Representative: Well, after COVID, our peers increased their prices quite substantially as you may remember. In our case, we were relatively modest at 3% to 4% price increases back then. Therefore, at the beginning of this year, we have already accounted for further sales price increases. This time around, we're going to be raising our selling prices even more. We had a discussion thoroughly in our market, and we were able to reach a conclusion that at this magnitude of selling price increases, we will not be impacting sales volume. Looking at the conditions of the North American market right now, our demand projection is 0% to minus 5%. At the beginning of the year, we were saying about tariffs that it's going to be a decline about 2.7%, and that's accounted for. The market itself is not that bad, to be honest so we're not that concerned.
Tai: Also, what about any opportunities you see? Do you hear anything positive in the market?
Unidentified Company Representative: Well, opportunity-wise, we don't really hear unfortunately, about any specific projects right now.
Tai: Okay. Understood. This might be a very rough question, but compared to three months ago, it might be the way you're communicating, but I think you're lower key in the way you're communicating. Excluding FX impact, that as well, I guess the headwinds you're facing are stronger than before. That's how you sound like. Well, tariff rates are lower than we initially expected and there's the inventory things that are positive as well. But how should we interpret the past 60 minutes? I'm not digesting everything well.
Unidentified Company Representative: Well, in an extreme way, that is, we're concerned about Indonesia and Japan, but other than that, we are not concerned. For Japan, Q1 was poor in performance and we are analyzing the reasons why. But for Japan, during COVID, demand continued to stay flat. Our view is that future demand was accelerated forth, and that is why this fiscal year is likely to go down. For Indonesia, it's a market where people are sensitive to coal prices. Currently, coal prices are lower than USD40 a ton now at around USD39. That's one thing. And also the government of Indonesia, when exporting, they're going to mandate the use of market prices when they ship their coal, and that's pretty expensive so people are withholding the purchases. Also mandatory implementation of biodiesel rules, and they're talking about raising the 35% ratio to 40% when it comes to fuel content. And for royalties, they also increased the ratio that people need to pay. All of these factors built up, and that's weighing on customer sentiment to purchase. That is why our view is that Japan and Indonesia is bad. Through other regions, we don't see any tailwinds. Especially for Europe, compared to expectations, it's trending quite nicely and positively. We clearly see that the trends have been bottoming out.
Tai: Thank you so much for that. It's clear now. Thank you.
Operator: Thank you very much. We would now like to conclude the Q&A session. Finally, this is announcement from the Company. Every year in December, on 17 December on Wednesday afternoon, we will be conducting the IR Day as usual. Reko Diq, the copper and gold mine projects will be taken up. We would like to talk about the Middle East business. That is the plan right now. We'd definitely like to ask for your participation in the IR Day in December. With that, we would like to conclude the 2025 Q1 results announcement for Komatsu Limited. Thank you very much for your participation today.